Operator: Good morning, and welcome to Global Indemnity Group 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer. [Operator Instructions] Thank you. Stephen Ries, Head of Investor Relations, you may begin your conference.
Stephen Ries: Thank you, operator. Today's conference call is being recorded. GBLI's remarks may contain forward-looking statements. Some of the forward-looking statements can be identified by the use of forward-looking words, including, without limitation, beliefs, expectations or estimates. We caution you that such forward-looking statements should not be regarded as a representation by us that the future plans, estimates or expectations contemplated by us will, in fact, be achieved. Please refer to our annual report on Form 10-K and our other filings made with the SEC for a description of the business environment in which we operate and the important factors that may materially affect our results. Global Indemnity Group, LLC is not under any obligation and expressly disclaims any such obligation to update or alter its forward-looking statements, whether as a result of new information, future events or otherwise. It is now my pleasure to turn the call over to Jay Brown, Chief Executive Officer of GBLI.
Joseph Brown: Thank you, Steve. Good morning and thanks to everyone for taking the time to join us on the call this morning. I will first provide an update on what has transpired at Global since our last call. This will then be followed by Tom McGeehan, our CFO, providing a detailed explanation of how our results for fourth quarter and full year were compiled, how they compared to prior year and some of the implications for future results based on the actions we have recently taken. We will then take questions. Looking back to last November, just a week after I joined the company, I will admit that the amount of change that I have now brought to the organization has been far greater than I expected at that time. As documented at our Investor Day last fall, 2022 was planned as a major expansion of GBLI's product offerings with both new lines of business and new products added to our existing product lines. As we began the process of evaluating our business plans for 2023, including the major dependencies on technology that needed to be either acquired and/or developed. It became clear that we needed to stand back and assess with our Board what was best for our shareholders over the next few years. In December, the GBLI Board was presented with a three year business technology plan that highlighted the significant technology and staff costs and risks associated with the planned expansion of our product offerings. Following that meeting, my management team put together a radically different business plan that substantially reduced the risk and costs associated with what would have been a dramatic change to our historical positive position in the excess and surplus lines business. The first decision was to immediately exit four businesses that we have launched in the fall of 2021 under prior management: property brokerage, professional liability, excess casualty and environmental. In January, we terminated all of the staff associated with these four lines. This decision was based on the economic assessment that we would not achieve breakeven for another four to five years due to the fact that our 18 month project was a third party technology vendor was, in my opinion, an absolute failure and we would essentially be starting back from scratch. In addition to that decision, we also fundamentally altered our appetite in the Bermuda insurance and reinsurance space and decided not to renew a large casualty retrocession treaty and a large book of high excess professional liability business. None of these decisions had anything to do with disappointing underwriting results in these lines. It was simply an assessment of our overall costs and use of capital. As a result of these decisions on the overall expense of running GBLI, we had a significant staff and expense reduction in early February to bring our overall headcount back to where it was in 2015 prior to the American Reliable acquisition. We have now realigned our resources to what is needed for ongoing business, including a defined plan to manage those activities associated with the business lines that we have exited in the past 18 months. The net result of these changes is that we are now back to our historical core business which has performed over time consistent with our goal to produce combined ratios in the low to mid-90s with consistent profitable growth for our shareholders. There are a few key differences from where we were positioned just a year ago. First, we expect to generate excess capital starting immediately in contrast to our belief a year ago that we probably need to add capital over the next few years to fuel our growth. Second, the actions we took over the past 18 months to shorten the duration of our investment portfolio from almost five years to under 1.7 years and to liquidate our publicly traded equity portfolio has already started to bear significant value for our owners. We expect that our investment income in the coming year will be almost double what it was in the prior 12 months. Third, our transition from an insurance company with a significant property exposure to catastrophic risk and the associated reinsurance cost is now complete as we have achieved our goal of a 70:30 casualty property mix with much greater geographical dispersion on our remaining property risks. Importantly, in 2022, we returned approximately $34 million to our shareholders by way of dividends and share buybacks. After the end of the year, during the first quarter, we purchased another 250,000 shares this year leaving around $32 million in remaining buyback authorization. Before I turn it over to Tom, I will repeat what I said on our last results call. My objective for 2023 is to get our company being valued above book value in recognition that our insurance operations are adding value to my fellow owners. As such, my relentless daily focus as CEO will continue to be to work with both the board and the management team to make that happen in the near term. With that, I will now turn it over to Tom.
Thomas McGeehan: Thank you, Jay, and good morning, everyone. Book value per share decreased from $48.44 at December 31, 2021 to $44.87 at December 31, 2022. Excluding decreases in the market value of the fixed income portfolio due to rising interest rates, book value per share would have increased by $0.98 per share. The decrease in book value per share due to rising interest rates was partially offset by share repurchases during the fourth quarter of 2022. During the fourth quarter, 907,000 shares were acquired. Share buybacks during the fourth quarter increased book value per share by $1.09. Global Indemnity paid a distribution of $0.25 per share each quarter to our shareholders. There was a net loss in 2022 of $850,000. Net income includes realized investment losses that were incurred as the portfolio was restructured to lower duration. Adjusted operating income, which excludes realized gains and losses, discontinued operations and onetime events was $19.5 million versus $14.6 million in 2021. We are realizing the benefits of having a higher yielding short duration portfolio. Book yields continue to increase since cash flows are reinvested. Our continuing lines generated an underwriting profit of $16.2 million. Consolidated underwriting income was $8.3 million. As Jay noted, actions were taken in the fourth quarter of 2022 and the first quarter of 2023 to enable Global Indemnity to focus on its commercial specialty lines, which were Penn-America small business, InsurTech, Programs and selected specialty lines. As Jay also noted, a decision was made during the fourth quarter of 2022 to stop writing business from recently formed units. The amount of investment and time it would have taken to achieve a proper rate of return from these new units was too long. Charges incurred in the fourth quarter of 2022 to exit these units were $2.3 million. In addition, during the fourth quarter, asset impairments of approximately $1.1 million were recognized. In the first quarter of 2023, additional actions to lower expenses were taken. Due to selling the manufactured home, dwelling and farm insurance businesses, as well as decisions to stop writing other business, actions were taken to make the operating expense base commensurate with the amount of premium written. Approximately $2.1 million of severance costs were incurred in the first quarter of 2023. The ongoing annual savings as a result of the fourth quarter and first quarter actions is expected to be approximately $16 million annually. Moving to investments. Net investment income excluding alternative investments was $33.6 million in 2022 versus $26.2 million in 2021. Book yield has increased to 3.5% from 2.2% at December 31, 2021. The benefits of repositioning the portfolio were paying off. Excluding alternatives, net investment income was $10.7 million for the fourth quarter of 2022 versus $6.2 million in the fourth quarter of 2021. The realized losses that were incurred during 2022 to reposition the portfolio are anticipated to be fully recovered during 2024. Another action that was taken was the interest rate swaps were exited in the fourth quarter of 2022. They were due to mature in December of 2023. Accumulated other comprehensive income was negative $43.1 million at December 31, 2022, versus $6.4 million at December 31, 2021. The change in interest rate during 2022 had a significant impact on the portfolio, shortening the duration of the portfolio mitigates much, but not all of the downside risk from the rise in rates. The duration of the fixed income portfolio is 1.7 years as of December 31, 2022. The unrealized loss will be recovered as the investments move towards their maturity dates. Approximately $900 million of the portfolio will mature between now and the end of 2024, another $230 million will mature in 2025. The yield on the portfolio continues to increase as cash flows are invested. Underwriting income was $8.3 million in 2022 comprised of $16.2 million from continuing lines and an underwriting loss of $7.9 million from exited lines. The combined ratio on a consolidated basis was 98.8%. The continuing lines combined ratio was 97.1%. Actions taken to reduce catastrophe exposure are working. Catastrophes incurred for our entire book in 2022 were $22 million compared to $53 million in 2021. Cat losses for the continuing lines were $11 million compared to $19.4 million in 2021. For our continuing lines, gross written premium grew by 17.3% to $559.7 million compared to $477.2 million in 2021. Casualty comprised 72% of the continuing lines net earned premium in 2022. Penn America grew by 13.1% to $219.7 million. Much of this growth was due to rate increases and exposure growth. On a year to date basis through December, Penn America obtained rate increases of 8.4%, exposure growth added another 4.9%. The InsurTech products comprised of collectibles, insurance and [vacated express] (ph) grew by 8.2% to $41 million. We do not have as much rate pressure on these lines, but we did obtain rate as a result of higher exposure values. Programs and other specialty lines remained relatively flat from 2021 to 2022. We continually monitor this book to assure programs are performing well. When they are not, actions are taken to improve returns. Our program division had year to date rate increases through December of 9.7% and exposure changes of 9.6%. Our reinsurance operations primarily focus on casualty reinsurance. Gross written premiums were $158.7 million in 2022, compared to $103.7 million in 2021. Going forward, we will be writing less reinsurance. This will free up capital that can be deployed to the commercial specialty lines, as well as providing capital for other corporate initiatives, including share buybacks. On January 3, we announced that we increased the share buyback authorization from $32 million to $60 million. Through the time of this call, 1,157,000 shares have been repurchased for $28.4 million. Exited lines include the farm business sold in August 2022, the specialty property book that was sold in the fourth quarter of 2021, as well as other lines we have exited. Prospectively, exited lines net premiums written will be very low. Net premiums written for the exited lines were down to $1 million in the fourth quarter of 2022. In summary, significant efforts have been taken to create shareholder value. GBLI is very focused on its core business lines. Non-core businesses have been sold, new units that were not going to provide a good return on capital were jettisoned and the expense base was rightsized to be proportionate with the premium being written. The investment portfolio was repositioned to enhance liquidity, provide investment flexibility and buffer market volatility. The duration of our fixed income portfolio is 1.7 years. Majorities and expected cash flows from operations will generate a tremendous amount of cash flow between now and the end of 2024. Book yield was 2.2% at the end of 2021 and it has increased to 3.5% at December 31, 2022. We have been deploying the proceeds from these maturities mainly back into shorter term treasuries. At the close of business yesterday, the one year treasury rate was 5.25%, two year treasuries closed at 5.05%. There is tremendous opportunity for book yields to continue to increase. Thank you, and we will now take your questions.
Operator: [Operator Instructions] And we do have a question from the line of Tom Kerr from Zacks Investment Research. Your line is open.
Thomas Kerr: A couple of quick ones here, nothing to in-depth, but can you go over the fourth quarter of $5.5 million charge again. I think you said there are three components of that and missed what those were or misunderstood them?
Joseph Brown: Yes. Hang on one second. It was -- the $5.5 million was actually spread between the fourth quarter and the first quarter. During the fourth quarter, we had a severance cost of $23 million and we had asset impairments of $1.1 million and the remainder of the charges, Tom, were actually incurred in the first quarter of 2023 and they were mainly severance costs.
Thomas Kerr: Okay. Got it. I took the press release of fourth quarter -- first quarter. [indiscernible] A big picture question sort of on the expense ratio for the last two years, it increased from 36 to 37. [Technical Difficulty] basically.
Joseph Brown: You broke up a bit, Tom. Could you repeat your question please?
Thomas Kerr: The expense ratio on continuing lines went from 36.2% to 37.2% last year. But early last year, when you begin the restructuring and the severance, I thought that might have been different. I forget what the delta was.
Thomas McGeehan: And you're right, our expense ratio has been going up as we were investing in some of our new lines of business and as Jay noted, that's why we just took the actions that we took. We're selling the farm book, we're selling the manufactured homes with the new units where again as we look forward it would have taken too long to get a proper return of capital. We were making some very significant investments in people and technology in those lines, but those were the costs that as I said when we looked ahead we felt it was necessary to -- it would have taken too long. We took the actions that we took to eliminate those expenses and that will improve our expense ratio on a going forward basis.
Thomas Kerr: So is it fair to get the combined ratio from 97% down to the low 90s, like you stated was your goal. Is it fair to say most of that comes from the expense ratio or equally with the expense and the loss?
Thomas McGeehan: Probably about 30% will come from the expense ratio side. The rest will just be on the underwriting side from loss ratio.
Thomas Kerr: Okay. Sounds good. All right. One more, any change, and I think you mentioned this sort of at the Investor Day have or will have $200 million surplus capital going forward. Is that still a current number? Or is that looking out?
Thomas McGeehan: Well, no. As we look out, we look at it as discretionary capital, it will continue to increase. The share buybacks and rises in interest rates, which have lowered our equity. Right now, we're in that $150 million to $160 million range. We'll expect that that will continue to increase. As Jay noted, the actions we took have an immediate benefit to excess capital, discretionary capital, we will see -- we expect to see increases in our discretionary capital going forward.
Thomas Kerr: All right. Sounds good. That's all I got for now.
Joseph Brown: Thank you.
Operator: Thank you. [Operator Instructions] And there are no further questions at this time. This does conclude today's conference call. Thank you for your participation. You may now disconnect.